Operator: Greetings and welcome to the Synchronoss Technologies’ Fourth Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Joe Crivelli, Vice President, Investor Relations. Please go ahead.
Joe Crivelli: Good afternoon, everyone. Welcome to Synchronoss Technologies fourth quarter and full year 2018 earnings call. Joining on the call is Glenn Lurie, President and Chief Executive Officer and David Clark, Chief Financial Officer. During the call, we make reference to our prospects and expectations for 2019 and beyond and other statements relating to our business that maybe considered forward-looking statements within the meaning of the federal securities laws, including statements about our financial trends, future results of operations and financial position, business prospects and market opportunities. Generally, forward-looking statements are identified by words such as expects, believes, anticipates, intends and other indications of future expectations. These forward-looking statements are based on the business environment as we currently see it and include certain risks and uncertainties. Please refer to our earnings press release and our SEC filings for more information on the specific risk factors that may cause actual results to differ materially from the forward-looking statements that we make. Any forward-looking statements on this call are based on assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. In addition to U.S. GAAP reporting, we report certain financial measures that do not conform to GAAP. We believe these non-GAAP measures enhance the understanding of our performance. Reconciliation of the GAAP measures to their non-GAAP measures in addition to the description of the non-GAAP measures can be found in today’s earnings press release. I'll now turn the call over to Glenn Lurie.
Glenn Lurie: Thanks, Joe and thank you everyone for joining us today. I am excited to talk to you about the tremendous progress Synchronoss made in 2018. We've also closed several new deals recently that we believe will lead to material new revenue streams for the company in each of our major platforms. We are very proud of these wins at our progress. In cloud, we reviewed our agreement with British Telecom to power the BT Cloud further cementing our relationship with the largest operator in the UK and today we are announcing a new deal with Assurant who will white label our Synchronoss cloud platform for its pocket geek solution, which is offered in their device protection bundle. In digital, earlier this quarter we announced an important deal and partnership with Rackspace who will utilize DXP to enhance internal operational efficiencies and customer journeys. Rackspace will also resell the entire Synchronoss DXP platform and product suite to its global customer portfolio. In messaging, we're continuing to expand the development of our advanced messaging initiative with the three major Japanese mobile operators and in the Internet of Things, we announced that AT&T will use the Synchronoss smart buildings white label platform to power its new AT&T smart buildings energy and building management service and we are looking forward to their pending launch. Each of our lines of business we have several new opportunities in the pipeline that we believe will lead to material new revenue for the company. We expect a series of announcements in coming months. We are pleased that the 2018 financial results also demonstrate the momentum and strength of our business. Revenue was $325.8 million within our full-year revenue guidance. Adjusted EBITDA was $14 million also within our full-year guidance. We generated $15.4 million of adjusted EBITDA in the fourth quarter alone and $24.8 million in the second half of 2018 after you adjust for a $4.9 million of first quarter expenses that we recognized in the third quarter. We had committed to all of you our shareholders in the street are exiting the year at 15% adjusted EBITDA margin and exceeded that commitment with the fourth quarter adjusted EBITDA margin of 18.8%. In short, we are pleased that we have delivered on our promises to shareholders in 2018. We worked hard to refocus the business and set a foundation for profitable growth in 2019. We executed significant cost-cutting to improve operating leverage and overall profitability. This enabled us to repurchase over 50% of our convertible notes early and to pay third and fourth quarter dividend on our convertible preferred stock in cash. Lastly, we have continued to transition from a custom solutions business to a product and platform oriented SaaS company with higher percentage of reoccurring revenue. The foundation of growth that we established in 2018 has now set the stage for us to further invest in our key products and platforms. The momentum that we've seen build throughout the year shows us that investing in these businesses is the right thing to do. David provide more details on these investments in a moment. Now let's dig into each of our business starting with cloud. Throughout 2018, we generated strong results in the cloud business, driven by positive trends in subscriber additions across our cloud customer base. We also productized the Synchronoss cloud delivering a white label solution that can quickly be deployed by our operator customers and we have shown the industry that cloud offering can generate meaningful incremental revenue while also reducing churn and increasing overall subscribers satisfaction. In 2018, we renewed our cloud contract with Verizon for an additional five years. Throughout the year, our Verizon subscriber base has tracked ahead of our expectations, driven by impressive take rates, lower subscriber churn as we discussed last quarter and continued this quarter. One of the key benefits of our white label cloud solution is the opportunity for operators to engage with subscribers, interacting with them around each of the digital assets on their device, such as photos, contacts and videos. This allows carriers to transform into a key service provider delivering meaningful value over and above connectivity. We will continue to invest in the features and functionality of our white label cloud solution to ensure the continued customer engagement, activity and innovation that our operator partners expect. We're off to a strong start in cloud in 2019 as we just announced that BT, the largest operator in the UK has renewed its agreement with Synchronoss to power the BT Cloud. BT has been a Synchronoss Cloud partner since 2015 and the contract renewal signifies a deepening relationship between the two companies. BT and Cloud enhances BT's customer value-added services, the most comprehensive free online security offering of any major UK broadband provider. Today we are also announcing that Assurant Inc., a global provider of risk management solutions and a market leader in mobile device protection has chosen Synchronoss personal cloud platform to deliver an enhanced device and content protection bundle to its operators worldwide. Combined with Assurant's Pocket Geek solution, this will give some subscribers access to enhance backup and restore features, reliable content transfer, device protection and diagnostics and a broad spectrum of engaging content features including highlights, flashback, tag and search and photo editing capabilities. The success of many current carrier customers that are today using Synchronoss Cloud platform to driving meaningful incremental revenue while increasing subscribers satisfaction is leading to a growing pipeline of opportunities for us globally. We are also seeing strong momentum in our Digital Experience Platform or DXP, which includes our legacy activation business, the Digital Journeys Platform we acquired in 2018, our digital portal and digital broker businesses. As digital journeys can simply and efficiently integrate on top of legacy IT systems, it enables companies to build, test and launch enhanced customer journeys at all touch points, providing a thing like customer experience across an omnichannel environment. Digital journeys takes us beyond the traditional mobile operator customer base and enables us to do business with the most any company looking to optimize overall customer experience inside a TMT. Our collaboration with Rackspace announced earlier this quarter owning power Rackspace to help its customers through their digital transformation journey, by enabling seamless, frictionless interactions across all customer touch points, including online or application, physical retail and call-center. The Rackspace relationship is a win on two fronts; as indicative of our strategy to leverage partner relationships and cost-effectively ramp our sales efforts around the world as well Rackspace will be using our DXP platform within its own operations. As we mentioned on our last call, DXP provides a number of monetization opportunities for Synchronoss across the entire lifecycle, including integration fees, monthly maintenance, success-based or transactional fees and additional services. We had a number of DXP deals that are in the final stages of contract negotiation. We hope to have several announcements within the next few months. In messaging, we are bringing advanced messaging to our carrier customers and in 2018 Synchronoss was successful in launching its partnership with the three major Japanese carriers to bring RCS advanced messaging products and Synchronoss Advanced Messaging Platform to the Japanese market. In early 2019, we continue to expand on this initiative. The three carriers in Japan are using our platform to deliver advanced messaging experience to their subscribers which today is operating at scale. The Synchronoss Advanced Messaging platform will allow operators to drive incremental revenue opportunities by using messaging as a commerce platform for mobile payments, e-commerce, advertising, A2P and B2C customer experience management. It also enables them to compete head-to-head with OTT messaging applications. Many global carriers have taken note and are waking up to the fact that they cannot simply allow OTT messaging applications to dis-intermediate them from their customers. Accordingly, we're working on additional deals to bring Synchronoss Advanced Messaging platform and solution to the rest of the world. During 2018, we also enhanced our Internet of Things platform, which we believe will be another fantastic growth opportunity for the company. [indiscernible] was launching our smart buildings platform and initiative, the foundation of which was acquired in 2018 and now is a complete product platform offering and giving companies the ability to proactively monitor, manage and maintain their building heating, air-conditioning, lighting, maintenance, security and more, all through a single pane of glass. The Synchronoss Smart Building platform gained immediate traction in September as we added AT&T smart cities and professional services portfolio. AT&T is using Synchronoss Smart Building platform to power its new Energy and Building Management service. We have a significant funnel of potential smart building customers and partners and we're looking for similar end to end IOT and products that we can bring to market and bring to our operator partners to sell to an inside of their channels. I want to emphasize with investors that Synchronoss is a very different place than it was one year ago. Our reconfigured leadership team includes a powerful combination of new to Synchronoss TMT industry professionals with decades of experience, strong reputations and deep connections at the highest levels of the industry as well as talented long-term Synchronoss employees who know the company inside now. This team is driving momentum in every area of our business; sales, marketing product development, customer delivery and financial operations and reporting. Each of our product platforms; Cloud, digital, messaging and IOT are delivering results for our customers and our sales funnel continues to build setting the stage for ongoing profitable revenue growth. The Synchronoss team is transforming the way customers do business, providing them with new monetization opportunities, more seamless and streamlined customer experiences while also the opportunity to reduce cost. To put a finer point on this, last year at this time, I was new to the company and one of my major key challenges were reconnecting with customers and reintroducing them to Synchronoss. This year, we are working with those same customers to build on our mutual success and continue to bring new opportunities to fruition. In January we held our sales kickoff meeting. During our time together, we set sales expectations for the coming year while fully equipping the team for success in 2019. The amount of energy in the room during the kickoff was inspiring to me and showed all of us how far we've come this past year as we all left with key and very clear objectives for success. As we look ahead, we continue to focus on profitable growth and we will invest in our business and in our product platforms. These investments include sales and marketing resources, continued research and development and customer delivery, We will also always look to fill minor gaps in our product portfolio. We believe there is a big opportunity in each of our platforms ahead of us and we feel very confident in these investments will generate strong returns for our company and for shareholders. These investments will also enhance scalability of our product platforms setting the stage for incremental growth in '20 and '21. Last year we talked about the importance of white labeling to transition Synchronoss from a custom solution provider to a product and platform oriented company, which will enable us to quickly scale product delivery while providing more consistent revenue and earning streams. We believe the investments we're making in 2019 will accelerate this process and enable us to move faster and do even more with our customers. In short we've come a long way in the past 12 months. Our objectives in 2019 and beyond are to continue to build relationship with our customers and convert the opportunities in our sales funnel and to incremental new revenue. We continue to migrate higher levels of reoccurring revenue. We will continue to optimize our expense structure and ensure sustained and sustainable profitability. We will continue to strengthen our balance sheet and continue our transition from a solution oriented company to a SaaS based product and platform oriented company, all while ensuring that our team has the resources needed to successfully execute on these objectives. As you can imagine this is no small task and it won't happen overnight, but shareholders can expect continued forward progress as they saw from us in 2018. To that end, I'd like to thank our shareholders for their confidence in our transformation. 2018 was in many ways a challenging year, but the collective Synchronoss team got a great deal accomplished in a short period of time and executed at a very, very high level in the face of many challenges. We are all confident in our direction, excited about our future and we believe we've built a foundation to continue to increase shareholder value. Demonstrating our confidence in our ability to create value for shareholders in early 2019 we paid the fourth quarter dividend of our preferred stock and cash and we repurchased another $11.5 million of our convertible debt ahead of schedule. I also want to thank our more than 1,500 Synchronoss employees globally. Their role in getting us here despite the previously mentioned challenges was nothing short of heroic. The success of the company in 2018 was entirely due to your great work, your focus, your passion for the business along with your tireless dedication each and every day. With that, I'll turn the call over to David. David?
David Clark: Thanks Glenn. Thanks everybody for joining us as well. I will review our fourth quarter results and provide guidance for 2019. As Glenn said, we are in range for the full-year revenue guidance with year revenue of $325.8 million, down $76.5 million or 19% from 2017. The year-over-year decrease was driven primarily by three factors. The revenue restatement from prior years that shifted revenue into 2017 from prior years, the transition of the Verizon Cloud from a freemium to a premium model and the transition away from the datacenter hosting model. As all year-over-year comparisons are impacted by these changes, I will primarily focus on sequential changes going forward. Starting in the first quarter of 2019, our year-over-year will be more meaningful. Total revenue in the fourth quarter was $82.1 million down slightly from the third quarter. Cloud revenue in the quarter was $42.6 million, relatively flat on sequential basis. We saw a strong growth in subscribers during the quarter, but revenue was flat due to revenue recognition rules. Digital revenue was $25.3 million down 12% sequentially, primarily due to fluctuations in subscription volumes and legacy products. [indiscernible] direct revenue was $14.2 million and was up 24% sequentially, largely due to growth in European and Asia-Pacific markets. Approximately 83% of our fourth quarter revenue was from recurring revenue sources like subscriptions and transactions compared to 86% in the third quarter. As Glenn mentioned, increase in the percentage of our business that is recurring to enhance visibility and predictability of our model is an important strategic initiative for the entire company. Turning to profitability, in the fourth quarter non-GAAP gross profit was $52 million, which represents a non-GAAP gross margin 63.3%. This compares to a 54.6% non-GAAP gross margin in the third quarter and a 61.8% gross margin in the year ago period. For the full year non-GAAP gross profit $171.4 million or 52.6% compared to $227.3 million or 56.5% in 2017. Non-GAAP operating loss from continuing operations was $3.3 million compared to a loss of $5.8 million in the third quarter and a profit of $15.9 million the year ago period. Adjusted EBITDA was $15.4 million in the quarter and compares to adjusted EBITDA of $9.4 million in the third quarter and $31 million in the year ago period. Note that both third quarter figures adjust for the $4.9 million of first quarter expenses that were recognized in the third quarter as discussed in our previous earnings call. Adjusted EBITDA for the full year was $14 million. We had committed to the street that we would exit the fourth quarter with an adjusted EBITDA margin of 15% and we exceeded that target with fourth quarter adjusted EBITDA margin of 18.8% up radically from the 11.2% in the third quarter. This was in part impacted by certain one-time benefits like favorable and currency translation and other one-time adjustments, but even without that, we would have exceeded 15% target. Fourth quarter non-GAAP operating loss from continuing operations was $99.2 million or $2.49 per share. As a result of a yearend balance sheet assessment, we took a few one-time impairment charges. Note that in the quarter, we wrote down the remaining balance of our $66 million note receivable from STI. In addition, we wrote up a substantial portion of our equity investments in STI and in our investment in Zentry. We continue to work closely with STI toward a viable long-term solution. Cash provided by operating activity in the quarter was $29.3 million which includes a $25 million in connection sale of Intralinks along with $4.3 million generated from our core operations. We ended the year with fourth quarter cash of $144.7 million or cash, cash equivalents, restricted cash and marketable securities and $113.5 million of short-term debt in the form of our convertible notes due in August of 2019. Whilst cash balances were lower than expected at yearend, this was largely due to a larger accounts receivable balance from a major customer, which has since paid down a good portion of this receivable. Based on our current cash forecast, we believe we have sufficient cash to retire their remaining convertible notes when they are due in August and fund ongoing operational while maintaining a comfortable cash balance throughout the year. We continue to work hard to improve our balance sheet structure and optimize our capital base. As noted on our last call, we repurchased approximately $113 million of our convertible notes early in the fourth quarter and we repurchased an additional $11.53 million in the first quarter, bringing the balance on the convertible notes to just $100 million. As Glenn noted, we paid the fourth quarter dividend on our preferred stock in cash, reflecting both our belief in the cash generating ability of the company and our ability to grow shareholder value. We will continue to evaluate that decision on a quarterly basis. Now turning to guidance, given the challenges in forecasting quarterly flows of contract signings, at this time we're only providing full-year guidance. As we continue to migrate to a recurring revenue model based on what little products we expect to revisit this decision. In 2019, we expect to achieve the following; total revenue in the range of $340 million to $355 million with reference a growth rate of approximately 5% to 9% and we're forecasting full year adjusted EBITDA in the range of $30 million to $40 million. This equates to a full year EBITDA margin of 9% to 11%. Now the guidance for EBITDA reflects the investments in our business as Glenn mentioned earlier. As we've discussed with investors, we've identified cost-savings of another $25 million on an annualized run rate and we expect to realize in 2019 over and above the cloud savings realized in 2018. However we also expect to invest $20 million to $25 million back in the business in 2019. This decision is based on the new business wins we have recently announced and are anticipating as well as the breadth and depth of potential new deals in our funnel. We strongly feel that it's prudent to invest these savings of the people, technology, R&D and outside support needed to provide for the forecasted growth this year as well as accelerated growth in 2021 and beyond. From a financial and support standpoint, the fourth quarter represent another step forward for Synchronoss. We generated strong EBITDA results and EBITDA margins, delivered positive adjusted net income, repaid over half of our convertible notes and continue to make progress on cost cutting initiatives. We expect to deliver continued progress and shareholder value in 2019. And with that, we'd be happy to take questions. Operator?
Operator: [Operator Instructions] Our first question comes from line of Tom Roderick with Stifel. Please proceed with your question.
Tom Roderick: A lot to digest here. So thank you for all the information. I want to start with a handful of the wins and major customers that you've identified on this call and previously. In particular I was kind of hoping, we could dive into a couple of them and I know you can't go into huge details on individual customers, but would love to hear little bit more Glenn if you don't mind on Verizon and the topic I would love for you to discuss is just what sort of traction you're seeing on that freemium to premium model transition and how are the checkpoints and metrics are looking relative to how you expected them to look at how that partnership has progressed now that you've got almost a year under your belt of that model transition. The other one I was hoping you could discuss was AT&T relative to be IoT and smart home initiatives. I'd love to hear a little bit more about the progress there and how you think of that market impacting the model going forward. That would be great on this too, thank you.
Glenn Lurie: Hey Tom, thanks, I hope you're well. Appreciate the question. Let me start with Verizon. So the freemium to premium transition has gone really, really well. As we discussed and I think we discussed on the last call that transition of going from what was really a cost relationship to a revenue relationship has been fantastic, not just for Synchronoss, but I believe it also for Verizon. As far as the tracking of the transition as we talked about before the transition a number of customers who went from a nonpaying or a freemium world to a paying world actually exceeded all our expectations. Over the year of 2018, the subscriber base and traction was actually beating expectations on multiple fronts where expectations on folks taking the free trial as many of you know, Verizon has a free trial that they offer for 30 days and then the conversion from that free trial into a paying customer and in both cases, the subscriber growth has exceeded our expectations and exceeded our targets. The other thing that's been actually maybe even more exciting is that the churn has also exceeded expectations and targets. So really overall been very smooth, customer growth has been higher than we expected, our relationship and the work we do together every day around driving customer growth, around driving experience and experiences inside of the cloud has gone fantastically, ongoing with our marketing organization and Verizon relationship day in day out. So really Tom, it's gone incredibly well. On the AT&T Smart Buildings platform, we are we are very excited and the reason we're excited about is when we made this acquisition and did some more work around this and integrated into Synchronoss systems, we knew it would be very popular. Obviously we announced AT&T in September agreed to take this on and we're white labeling this platform to them and they're taking this on as their smart buildings platform. We are working with them towards a launch in their medium and small business markets and really the key to this is and uniqueness of what we have is really in the software. The ability to bring in a central hub that can take all the data and integrate that into a single pane of glass for all the devices and all the systems in a building really taking what is a dumb building and making it smart, is actually really amazing, fantastic and I would really excited about what AT&T can do with this as they go out and market this at their own. I will tell you we have obviously been demoing this at CES. We demoed this Congress and a number of carriers, number of large companies, number of potential partners that want to sell this is actually really, really strong and we have a really nice funnel of opportunities that we're working right now. So hope that answers your questions Tom.
Tom Roderick: That's wonderful, that's great. Thank you. The second question I wanted to ask you and Glenn I'll go back to, it's one of the last things I was addressed in the guidance from David is just this notion of investing back in the business. So what I heard was $20 million $25 million being invested back in the business and that's going to be offset by the identify cost savings, but could you just help us understand the mechanics of A, again where those investment dollars are going to go and then B, mechanically are those going to be headcount reductions offset by new hires? Does that enable you to lessen the headcount reductions? I guess what I'm getting at is, is there new talent required with where the investment dollars are going or does this just sort of lessen the footprint on what some of the reductions that were previously anticipated?
Glenn Lurie: Yeah it's a great question and you got it exactly right as to the balance and it will be a balance. When you think about where Synchronoss was in the past, Synchronoss was obviously doing a lot of custom deals, a few deals a year and that's how they operate and they get it really, really well. The change and the way we want to go forward is to be a scaled company and do things on a white label and a reoccurring platform type of way and so when you think about a SaaS company you want to go and you want to make sure that you can do multiple deals. As we sit back and look at our platforms, you made nice progress in '18, taking the cloud platform and white labeling that, the things we were doing with DXP, but what we're also seeing is that yes, we are and have done some reductions of headcount and we do need to bring in a different talent pool for certain aspects of our business. We obviously also have an opportunity in R&D. When you're a SaaS company, you got to continually innovate. I talked in my comments about the relationship we have with our cloud partners and that customer relationship with us when they're inside of the cloud and the type of innovation we need to do to stay ahead of competition and continue to grow. So without question we're going to be investing in R&D. We're also going be investing in overall just simple innovation right, which we all know is very hard but is something in each of the platforms we're going to have to do. We're going to invest in delivery. When the company was used to delivering three, four, five deals a year, we want to deliver 25, 30 deals a year than you have to obviously ramp on your delivery support tools as well. So David anything you want to add to that?
David Clark: No, I'll just give you a very simple example of it Tom. We consolidated last year our office presence here in New Jersey. We had a little excess floor space. We excited the floor, subleased that. We could probably save about $1 million on that move alone, but I know that, that money will be reinvested we sign new cloud deals because we're staffing up to support these deals, it's a good example of how I might think about it.
Tom Roderick: Last quick one for me, David I know wouldn’t be a qualified and ask about SGI so I appreciate some of the details there with the write down but I am sorry to hear that didn’t go the way you expected. Wondering if you could just provide some details relative to that TSA agreement that we have historically where that was generating your chunk of revenue. Did that generate revenue in the year maybe you could kind of give us a sense of what the TSA agreement contributed for 2018 and given the write-down on the -- on the equity side, do you expect that SGI will be a revenue recognition customer in 2019? Is that in the guidance?
David Clark: As of right now, it is in the guidance Tom and I think from a we've got a multilevel relationship as you well know and you know we're not going to sit here and say, it was ideally structured, that's not we're about. We're about fixing and really positioning Synchronoss from moving forward. So the case of SGI, we are partner through the TSA. We did recognize about $27 million of revenue in 2018. We collected about that much in terms of cash from them under the agreement, but to be monitored going forward. You heard what I said, we're trying to work on a viable long-term solution. Every public company at fiscal yearend has to evaluate its assets to see if there has been an impairment. I think we've decided to step up to taking conservative approach and just writing down the whole notes. So we're going to move forward and weekly conversations is not an exaggeration as we talk with them to try to figure out a long term solution.
Tom Roderick: Excellent. That's helpful. Thank you, guys. I appreciate it.
Operator: [Operator Instructions] Our next question comes from line of Sterling Auty with JPMorgan. Please proceed with your question.
Sterling Auty: Couple from my end. So as you look across 2019 any significant contract renewals that we should be aware of during the year?
Glenn Lurie: No right now, we're really excited obviously the big one in '18 was the Verizon. The BT is a big one for us as well. We've got obviously with the number of customers, we have, we always have renewals coming but nothing of that significance and we feel very, very good about where we're headed and trended with our customers as we said during the end of '17. '18, we really haven't lost a significant customer. Our customers will spend a lot of time with our current customers. One of the nice things too with the four platforms and our products is we're also doubling down on actually selling more to our current customers, which is going very well.
Sterling Auty: And then on the margin front, I know you're not giving quarterly guidance, but looking where the gross margin finished the year, any qualitative comments you can give, should we see variability above and below that level that you did in 4Q or is just a baseline that we can work off going forward?
David Clark: So as we look at margin across the quarters, we would expect it to step down in Q1 and then step back up as the year progress more the levels like we just reported.
Sterling Auty: And you talk about the liquidity being ample for the convert, but besides the convert, can you just remind us of the cash commitments necessary for [indiscernible] moving forward?
Glenn Lurie: We have no cash commitment and i.e. we can always elect to let the preferred do just that and pick. So it's our option that we've paid it out in cash. It's quarterly decision by the board. So we live as we look at our true financial obligations on the balance sheet, it is the convert itself we have to plan.
Sterling Auty: And you talked about messaging in general but how about Japan as a region and what might be happening there?
Glenn Lurie: Yeah Sterling going very well. I think we'll have some more announcements around that here in the next month or so. Like I said in my comments the platform is up and operating at scale and we are continuing to move the innovation next steps forward with our partners there, but we feel very, very good about it. I would also throw out that one of the nice things about the success we've had there is obviously I said other countries have taken note. Other countries are concerned around the impact that OTT like Align [ph] or WeChat could have on their business and they're getting proactive. So we're pretty optimistic with the conversations we're having globally with other countries around the same exact type of platform and bringing synchronous to that country to support them.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session and I'd like to turn the call back to Joe Crivelli for closing remarks.
Joe Crivelli: Thank you, everyone for joining us today. If you have follow-up questions or would like to schedule a follow-up call with management you can reach out to me at 908-566-3131 or via email at investor@Synchronoss.com and I'll pass it back to Glenn for closing comments.
Glenn Lurie: Yeah I would just like to again thank everybody for joining us today and I want to reiterate one key thing. I want to thank all of our shareholders for their support and trust in 2018 as well as really thank our employees for an incredible year. The Synchronoss team is working incredibly hard. I think everybody on the call is aware of the challenges and what we've come from and two in the year, and I'm really very, very excited and optimistic about how we're positioned for '19, '20 and '21 as we go forward. So again thank you for joining us and you want to talk to us further, you get a hold of Joe.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.